Operator: Please standby, we are about to begin. Good day. And welcome to the Crexendo Fourth 2013 Quarter Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Chief Executive Officer, Steve Mihaylo. Please go ahead, sir.
Steve Mihaylo: Thank you, Amber, and good afternoon, everyone. I’m Steve Mihaylo, CEO and Chairman of Crexendo. I want to welcome all of you to the Crexendo 2013 year end conference call. With me today are Doug Gaylor, our President and COO; Ron Vincent, our CFO; Satish Bhagavatula, our CTO; Jeff Korn, our Chief Legal Officer; and Kim Reitz, our Controller. I am going to ask Jeff to read our Safe Harbor statement after that I will give a brief overview of the quarter and some operational highlights. Ron will provide some color on the numbers, Doug will provide a business and sales update and then we will open up the call to question. Jeff, would you please provide the Safe Harbor statement.
Jeff Korn: Yes. Thank you, Steve. I want to take this opportunity to remind listeners that this call will contain forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1935. The Private Securities Litigation Reform Act of 1995 provides a Safe Harbor for such forward-looking statements. All statements made in this conference call other than statements of historical fact are forward-looking statements. Forward-looking statements include, but are not limited to words like, belief, expect, anticipate, estimate, will and other similar statements of expectations identifying forward-looking statements. Investors should be aware that any forward-looking statements are based on assumptions and are subject to risks and uncertainties that could cause actual results to differ materially from those discussed here today. The risk factors are explained in detail in the company’s filings with the Securities and Exchange Commission, including the Form 10-K for the fiscal year ended December 31, 2013. Crexendo does not undertake any obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. I’d now like to turn the call back to Steve. Steve?
Steve Mihaylo: Thank you, Jeff. I want to take this opportunity to briefly discuss some of what I believe are the very exciting things that we as a company have completed. I will be brief as we are purposely trying to keep the prepared statements short so that we can answer specific questions that you may have. I want to make clear that I am very committed to and very optimistic about Crexendo. My belief in this company was founded on actions that have occurred by my seeing the enthusiasm of both our employees and our customers. I am very pleased that with the ability to report that I believe we have completed the transaction of the company from the old business model to our world-class cloud services business. As you know, this was no small task and we have done this with being able to continue to provide quality products to our customers including our legacy customers. We have kept the best of the old business and continue to develop what I believe will be a world-class web builder platform, our new builder Slingshot, we have began trials of Slingshot, initial comments from web developers have been very positive, I have high expectations for this product. We have continued to improve and streamline the business. We recently revamped our sales force. We have reduced the number of direct sales people and kept what we believe our top producers. We have also reduced some of the costs associated with our direct sales force. We've also reduced cost related with the University program as maintaining that expense until Slingshot is fully and running was not cost effective. This reduction in cost has substantially reduced our cash spend. I believe we will be [lead us to] profitability in the near future. We are convinced that the reduction in our sales costs, our sales force will not reduce sales and we will ultimately lead the profits. We have continued to invest and an expand our partner programs, partners are very cost effective mannered to increase our reach in our sales, sales from our partners have increased, the number of partners will increase and I am very -- I have very high expectations for our partner program. In fact since we last spoke I think our partners have increased to 50 with approximately 20 or 25 affiliates. Our results were promising. Sales have grown substantially quarter-to-quarter but we still need to work harder to increase that. Our backlog has increased substantially and that I believe confirms we're making improvements in our sales process and is very promising regarding future sales. I’m also pleased with the continued increase in network services which is also very promising. As you may have seen, our -- we have sold our property in Tempe to an LLC which is controlled by me. We have done this to increase our cash, ensure our customers and investors that we’re not limited by our growing concern issue. I have paid the high end of fair market as determined by an independent licensed appraiser. It is both fair and reasonable that I should be entitled to turn on this real estate investment. I’m also fully aware of our limited cash. So to show my continued belief in the future of Crexendo, I’m accepting rent payments in common stock and as you know, there is a risk involved in doing so which I’m willing to take. I have agreed to do this for a minimum of three years. I have also agreed that the company’s -- at the company’s auction, I will do the same for up to an additional six years, a potential total of nine years. I have also said that I have belief in his team and in his business. This should prove that I continue to put my money where my mouth is. Our sales continue to grow quarter-over-quarter. Our backlog continues to grow quarter-over-quarter. We continue to develop products and services which were second to none. We have reduced our cash burn and the future is very bright. I continue to reinvest my resources not just financially, I do this because I really believe we’re in the right market with the right products and services. I continue to work everyday with our management team. We have budgets that work. We have targets that are very achievable. We have sales processes that we have improved and I know we have the products and people that will get us where we need to be. We have continued to work to find ways to increases sales both organically and with well-timed strategic acquisitions. I remain committed to steps to find the business if necessary. I’m very excited about our processes in the future. Before I turn this call over to Ron Vincent, I want to add one thing. At this point, I think the most important metric is our backlog. At the end of 2012, our backlog was $2.4 million and at the end of 2013, our backlog was $7 million, an increase of $4.6 million or 192%. But even more impressive, our backlog grew by $1.8 million in the fourth quarter alone of 2013. Ron, can you give us some color on these numbers?
Ron Vincent: Yeah. Thank you, Steve. For the fourth quarter of 2013, we had consolidated revenue decreased 32% to $2.1 million compared to $3.1 million for the fourth quarter of 2012. Net loss for the fourth quarter of 2013 was $1.8 million or $0.17 per share -- per diluted share, compared to a net loss of $3.2 million or $0.30 per diluted common share for the fourth quarter of 2012. Financial highlights for the year ended December 31 2013, our consolidated revenue for the year ended December 31st decreased 40% to $10.3 million compared to $17.2 million for the year ended December 31, 2012. Net loss for the year ended December 31, 2013 was $5 million or $0.46 per diluted common share, compared to a net loss of $3.9 million or $0.37 per diluted common share for the year ended December 31, 2012. As of December 31, we had cash and cash equivalent, including restricted cash of $3.6, million compared to $8.9 million at December 31, 2012. Subsequent to year ended December 31st, we entered into a sale leaseback transaction with Steve Mihaylo, our CEO as Steve mentioned earlier, which allowed us to generate $2 million in cash to fund future operations. Cash used for operations for the year ended December 31, 2013 was $5.4 million compared to $446,000 for the year ended December 31, 2012. Cash provided by investing activities and financing activities for the year ended December 31, 2013 was $1 million compared to cash used for investing and financing activities of $772,000 for the year ended December 31, 2012. The cash provided by investing and financing activities primarily related to $1 million released from restricted cash. Working capital as of December 31st was $2.8 million compared to $6.3 million as of December 31, 2012. Working capital excluding deferred revenue at the end of 2013 was $4 million compared to $9.4 million at December 31, 2012. With that, I’ll provide some highlights on the segment. Crexendo Network Services segment revenue increased 194% to $2.4 million for the year ended December 31, 2013, compared to $805,000 for the prior year. We continue to see rapid growth in our network services segment primarily related to the sale of our hosted telecommunication product and services. As reported in previous quarters, revenue for the first, second, third and fourth quarters were $385,000, $491,000, $696,000, and $798,000 respectively. As you see, we continue to see positive growth in our revenue numbers. As Steve mentioned, we also have seen a large increase in our backlog. At December 31st, our backlog is approximately $7 million compared to the quarter ended September 30, 2013 of $5.2 million, $1.8 million increase during the fourth quarter. We are excited about the positive trend in our network services segment revenue and backlog. Crexendo Web Services segment, revenue decreased 18% or $2.1 million for the year ended December 31, 2013, compared to $2.5 million for the prior year. We anticipate that our revenue from the web services segment will continue to decline due to our strategic decision that limit the provision of web services to our enterprise sized customers. As a result of the shift in focus, our backlog has decreased $207,000 to $553,000 at December 31, 2013, compared to $760,000 at September 30, 2013. This shift in focus will allow us to focus on our rapidly growing network services segment. StoresOnline segment revenue decreased 57% to $5.9 million compared to $13.9 million for the prior year. StoresOnline revenue includes $3.2 million of cash collected on our extended payment term agreements. Based on our current collection rates, we expect to collect approximately $545,000 in revenue from our StoresOnline receivables during the next 12 months. Interest income from extended payment term agreements, receivable decreased 74% to $497,000 for the year ended December 31, 2013, compared to $1.9 million for the prior year. We will continue to collect interest on EPTAs receivables at a decreasing rate, as the accounts receivable balance decreases from cash collections and write-offs. With that, I will turn it over to Doug Gaylor, our President and COO for additional comment on the business and sales subject.
Doug Gaylor: Thanks, Ron. Good afternoon, everybody. Well, we continue to see very favorable sales and revenue trends for our Network Services division as we finished the quarter and fiscal year 2013. Our decision in Q3 to exit the web marketing and SEO divisions with the exception of our larger SEO accounts, allowed us to focus all of our sales and marketing efforts on our core competency, Crexendo’s hosted telecom offerings. We had record sales bookings during Q4, with sales bookings increase of 32% over Q3 and 26% over our previous high watermark, or sales that occurred in Q1 of 2013. Sales bookings for the fiscal year were up 61% over sales bookings in 2012. Our continued focus on selling Crexendo’s award-winning hosted telecom solutions combined with the cost savings benefits that the majority of our customers realize from our solutions continues to raise the bar for our sales and revenue numbers for the division. As Ron mentioned, backlog for the division also continues to grow at a nice pace with our fourth consecutive quarter of at least 23% quarter-over-quarter backlog growth. Our current revenue backlog of $7 million is a 35% increase from our backlog from Q3 and the 291% increase from Q4 2012. Revenue for Network Services also continues to see a steady increase as we posted revenues of $385k in the first quarter, $491k in the second quarter, $696k in the third quarter and now 4798k in the fourth quarter. So we continue to see a nice increase there. With the increased sales contributions from our growing partner sales channel, this trend should continue to see nice double-digit growth. The overall revenue for the division saw 194% increase, year-over-year, finishing 2013 with $2.4 million in revenue. Our partner sales channel continues to grow and is having increased numbers with every new partner. We continue to upgrade the partner channel and expect to see continued growth from this program. We ended Q4 with 51 partners in our partner program and are continuing to see increased activity in sales from the channel. In November of Q4, we hosted our first annual Business Partners’ Conference here in Arizona and we were extremely pleased with results of the conference. We had over 35 attendees and received tremendous feedback from all of our participants. Sales and activity from the partner channel were up quarter-over-quarter, and the amount of activity from the channel is gaining a tremendous amount of traction. We continue working with organizations that have selected Crexendo as their preferred partner for their associations and members, and have had significant sales from these relationships during Q4. In addition, our Affiliate Partner Program that Steve mentioned earlier continues to grow and expand with 29 affiliate partner signed up on the program, and these affiliate links are generating leads and we have seen our first sales opportunities that have been generated from the program. We installed a record number of desktops during Q4, and are beginning to see a nice increase in the average number of desktops per order as well as a nice increase in the percentage of accounts that are opting to purchase their phones as opposed to financing the phones. The increase in accounts purchasing phones will have a positive cash flow affect on our balance sheet going forward. We have continued our focus on cost cutting measures and cash conservation and will continue making the proper adjustments in these areas going forward. We eliminated costs and positions during the course of the year that allowed us to run more efficiently and with less expense and we will continue making those evaluations and decisions as we grow into 2014. As we closeout 2013, we have accomplished a lot within the organization. We have completed our transformation to a complete cloud communications and hosted services provider. This transformation took longer than expected, but now that it is complete, we have a very clear and unobstructed growth path for the future. We are a very rapidly growing sector with tremendous opportunity for success, and we're fully poised to deliver on our success plan in 2014. In 2014, you will see us continued to focus on our direct sales as well as our rapidly growing partner channel. We are also counting on tremendous amount of excitement and acceptance of our new web-builder, Slingshot, as we introduced that product to the web builder community. And finally, you will see us continuing to search out accretive acquisition targets. With the financial backing and support of all of our shareholders combined with the tremendous talent and commitment of our Crexendo team, I could not be more excited about our future. We have a tremendous opportunity ahead of us and are ready to take the challenge. With that, I will now turn it over to our Chief Technology Officer, Satish Bhagavatula for and engineering technology review.
Satish Bhagavatula: Thank you, Doug. Greetings everyone. I’m glad to report that we made significant improvements to our products and technology during 2013. These enhancements have been in the areas of increased operational efficiency of our cloud services, improved features and new functionality in our telecom platform, maintenance of our current web hosting platform and heavy emphasis on the development of our new web platform called Slingshot. As we continued to increase our telecom customers, we see a remarkable growth in the traffic and network infrastructure. We continue to make more improvements regards to the growing needs of storage, computing, quality of service and high availability of our solution. We continue to plan and improve our data network connectivity by evaluating our existing carriers that reach and their availability to allow us to better reach our prospects and existing customers throughout the public Internet. We invested heavily in adding enhanced monitoring capabilities to our platform and availability of services vital to our cloud offerings for both telecom and web. This continuous analysis and the evaluation process better prepares against outages in public Internet upstream from our telecom carriers upstream from us and faulty equipment within our infrastructure. Our solution to protect Crexendo cloud infrastructure against distributed denial-of-service attack is already proving to be a great value add. This solution allows us to visualize and see the threat occurring on the Internet, which in turn hopefully allows it to devise solution against such attacks. Large DDoS attacks are common for service providers in the industry and our goal is to preserve and maintain a state-of-the art cloud infrastructure to protect it. Our stores 7.0 platform continues to service most of our web hosting and ecommerce conference today. Although, we have cease to add major new features to our 7.0 platform, we continue to make small improvements in regular bug fixes to adapt to the changing landscape due to the search engine update, browser updates and Internet bandwidth. I'm glad to report that our web engineering team continues to roll out updates to our existing web hosting customer base every three weeks. Our development team has ramped up its efforts on developing our next generation of web-builder Slingshot. We are currently alpha testing and doing trials with a few web partners. These tests are showing very promising results. When released, anyone can build a website on Slingshot with the same ease as editing a document, dragging and dropping images and other web elements within their browser window. The initial release of Slingshot will feature functionality that will allow a customer to build any non-ecommerce website in both any standard HTML website to quickly integrate into Crexendo’s builder and publish the site with a worldwide web within minute. This capability to import any standard website from other builders is a Crexendo innovation and is an industry effort. Slingshot at its core takes into consideration response times, fast rendering to provide best viewing experience in the age of varied devices, such as desktops and smartphones, phablets and tablets. It is not only designed to provide easy-of-use features, such as drag and drop of web elements, Crexendo is just editing [pilots] and properties of each web elements but also allow power users and developers to jump right into HDML, JavaScript, CSS and embed their own element. Crexendo believes Slingshot will save the path and allow us to compete with building web builders, e-commerce and content management platforms in the industry. We hope this platform will enable us to increase our web hosting presence and also help our partner relationships to a finite marketing while we build our channel programs. On our telecom platform [Audio Gap] improvements in the areas of cloud fax stability and usability. We also rolled out numerous changes in our desktops end points to allow our customers to have better lamp and display indications, program the in-built features such as ACD Log In/Log Out and Find Me/Follow Me functionality. During Q4 of 2013, we also rolled our secured audio functionality, which allows our customers to have an encrypted audio stream from their premise into their Crexendo network and vice versa. We added another major productivity feature to our offering called Twinning which allows our customers to move active calls received on a Crexendo device to their cell phones when they log out of the office and back on their Crexendo device when they walk into their office without interrupting the conversation, dropping the call or putting the customer on hold. This is the great feature and works seamlessly. It is now available to all of our customers, which is one of the tremendous benefits of our cloud communications platform. Crexendo also tested a deployment freeze during the holidays that was very successful in the test. This test establishes as a mature software development life cycle, most vital component for all cloud providers. The integration of PBX Central acquisition and its KBx platform is progressing well. Our integration test and changes are indicating favorable results, which kept us closer to our goal of relocating the whole set KBx deployment to our primary data center. This relocation will bring an additional cost savings and efficiencies. We continue to look into domestic technology partnership opportunities to help us grow our product portfolio. We continue to adopt more cloud technologies to allow for greater automation of our business, which in turn improves our margins and enables us to better serve our customers. With that, I will now turn it over to Steve. Steve?
Steve Mihaylo: Thank you, Satish. Amber, we are ready for questions.
Operator: (Operator Instructions) We will go first to Craig Samuels with Samuels Capital Management.
Steve Mihaylo: Good afternoon, Craig. Are you there?
Craig Samuels - Samuels Capital Management: Yes.
Steve Mihaylo: We are here. Good afternoon, Craig.
Craig Samuels - Samuels Capital Management: Hey, Steve, how are you?
Steve Mihaylo: Good.
Craig Samuels - Samuels Capital Management: Can you talk about overall corporate revenue for Q3 versus Q4 and Q4 was $2.1 million? What was just the telecom piece sequentially? Was there growth sequentially?
Steve Mihaylo: Absolutely. I am going to let Ron Vincent answer that one, but we’re averaging around 26% quarter-over-quarter.
Ron Vincent: Yes, that’s right, Steve. Our revenue for the fourth quarter was $798,000 compared to the September 30th quarter of $696,000. So, we are seeing that continued growth quarter-over-quarter.
Craig Samuels - Samuels Capital Management: Yes.
Steve Mihaylo: We’re growing right now at over 100% a year in the telecom division. Once we get Slingshot that we’ll start seeing our hosting revenue increase there and we’ll also pick up more banner ads on new websites or affiliates.
Craig Samuels - Samuels Capital Management: How many sales reps did you have in Q3 and how many sales reps in Q4?
Steve Mihaylo: Well, it was approximately 16 in both quarters, but we did do a reduction in force to call out the sales people that weren’t performing at our expectations. In addition to that, we added two more sales people in our dealer group, so it was a net reduction of six people, plus people that were involved in SEO and link building. We’ve made the decision as we announced previously that SEO and link building will only be done for our enterprise customers and all of the smaller stuff is being turned over to a company, that’s very competent in that area and will bring commissions on the deals that come to us by default.
Craig Samuels - Samuels Capital Management: So in Q4, you had 16 reps and in Q1, you will have how many on the payroll?
Steve Mihaylo: We will have a total of 11, 3 in our dealer program and 8 in our direct program. But as you know, we are adding dealer partners at a very fast rate, we are at 51 dealer partners as of today and that’s up from, how many a year ago Doug?
Doug Gaylor: That was up from 34 at the end of Q3 -- 34 at the end of Q2 and 43 at the end of Q3.
Steve Mihaylo: Okay. Were you able to hear that?
Craig Samuels - Samuels Capital Management: Yes. So the question is, you’ve invested two years in a direct sales force and it looks like you’re kind of unwinding the direct, is that, I mean, you are down to 8 after two years?
Steve Mihaylo: No, we are not unwinding it at all Craig. What we’re finding is larger sales are being done by our direct people and the smaller sales are being done by dealers. Our infrastructure is so that it’s designed to support larger sales, not smaller sales. We spent as much time trying to sell on 8 or 10 front dealers. We do a 1,000 front deal. We think that we’re best equipped in this industry to handle large accounts, which makes that a natural for a direct sales force. We saw the same thing at my previous company, Inter-Tel. About 40% of the sales were accomplished by dealers, even though we had almost 5,000 dealer sales people, about 500 dealers with about 10 sales people each and we had about 300 or 400 direct sales people that were doing 60% of the sales. So, less than 10% of the sales force in our direct and 60% of the sales. So we’re just trying to see the same thing here. In the last quarter, can you tell us exactly what the ratio was and backlog from dealers versus direct, Doug?
Doug Gaylor: I will have that exact rate down Steve, but we’re seeing more and more dealer sales coming through the channel. We’re seeing, as Steve said, all of our bigger sales coming through our direct channel and the underperforming direct sales people, approximately half of those have actually signed on that become dealers post-Crexendo. So we still get the benefit out of sales opportunities. We don’t have the cost out there unproductive facets when they are not selling.
Craig Samuels - Samuels Capital Management: Right. So at point down the road, will you star to increase your direct sales force again, perhaps as the revenue increases?
Steve Mihaylo: Well, that’s true, but more importantly, we want to have positive cash flow before we do that. And all of our budgets and everything that we have currently shows positive cash flow either late this year or early next year, that's with no acquisitions that just with organic growth. So we are pretty excited about the future. We have got one account that we are in the process of implementing currently which has over 700 desktops in it. The revenue from that alone will make an impact in the second quarter, I mean, yes, the second quarter of this year. So these are the kind of accounts that really had helped and I think, currently, we probably have, we just said those an accounts that are over 500 desktops.
Doug Gaylor: That's accurate and compared to a lot of our competitors, in a short period of time we have got more larger accounts, lot of our competitors have had that, they are doing this for years and years and years. Our average transaction for the year is [Audio Gap] is in the single digits pretty essential, I think actually around [6 phase or 7 phase] if I am correct. So we are about double the average size transaction of some of our larger competitors.
Craig Samuels - Samuels Capital Management: How many installed customer seats do you guys have at present?
Steve Mihaylo: I don’t know the exact number, Craig, but we have an installed base which is bigger than our web hosting base and we have about 12,000 websites that we are hosting.
Craig Samuels - Samuels Capital Management: So at some point, given on a percent base, it’s 26% sequential, but you are off a low number, when you would expect, Steve, to really start to accelerate from 798, 1.3 to 2 to 3 to just that, it doesn’t look like you hit mark speed yet?
Steve Mihaylo: Craig, I know that everyone is interested in that and I am more than anybody. I have got biggest stake in this business. I can tell you this we are seeing tremendous growth in our dealer program, once we get Slingshot shop launch, I expect to see tremendous growth in our web hosting and our affiliate program which is the marketing and the feeder stock for our sales.
Craig Samuels - Samuels Capital Management: Who will be selling the web builder product, is that dealers?
Steve Mihaylo: Say again?
Craig Samuels - Samuels Capital Management: I’ve said what sales channels will be selling the web builder product?
Steve Mihaylo: That will be done with the developers, as soon as we get that product launch which we expect the launch before the end of this month. We are going to start going out to developer their trade shows, so that will be sold by developers that are building websites and then it will also be sold through the University program.
Craig Samuels - Samuels Capital Management: Got it. And then last question on the M&A front? Can you talk about your pipeline?
Steve Mihaylo: I can’t really talk about it, but we do have candidates in the pipeline and I would expect that we will see two or three acquisitions before the end of this year.
Craig Samuels - Samuels Capital Management: Good deal. So far so good. Thanks, Steve.
Steve Mihaylo: Craig, thank you. I appreciate your support buddy.
Operator: (Operator Instructions) And we will go next to Neal Goldman with Goldman Capital Management.
Neal Goldman - Goldman Capital Management: Hi guys.
Steve Mihaylo: Hi, Neal. How are you this afternoon?
Neal Goldman - Goldman Capital Management: Good. First question on StoresOnline, when you collect this 545,000, is that other than hosting certain of those clients, is that the end of the StoresOnline segment?
Steve Mihaylo: Well, that's the end of the StoresOnline segment, from the standpoint of the contracts that were sold through seminars. We still have a little bit of revenue coming in from SEO and Link Building but primarily for larger customers we will also see some commissions through smaller customers that we outsource. But, yes, that's basically up. The only other thing that remains the web hosting which we are going to enroll as we get Slingshot launched.
Neal Goldman - Goldman Capital Management: Okay. In terms of the current cash burn, what are you running at now on a monthly basis?
Steve Mihaylo: Well, you know...
Neal Goldman - Goldman Capital Management: I know it will change but as of the year end when you look at the budgeting, what are you currently running?
Steve Mihaylo: Well, we have $1.3 million and negative cash burn I believe in the fourth quarter, but with the changes we have made in January with the improved sales with expenses that are falling off from the StoresOnline, I would expect our cash burn to be around $1 million this quarter and I am looking at Ron Vincent and he is kind of shaking his head, down a little.
Ron Vincent: I don’t know the exact number but...
Neal Goldman - Goldman Capital Management: Which way is he shaking, Steve?
Ron Vincent: Right. We are going to start, it’s going to start…
Steve Mihaylo: Yeah. And then it will sequentially keep dropping each quarter. I would hope that the cash burn is below $300,000 or $400,000 a quarter by the end of the year.
Neal Goldman - Goldman Capital Management: Okay. In terms of the Slingshot, in terms of the pricing model, how do you view it?
Steve Mihaylo: We give the product away. We have different levels of hosting revenue. We haven’t quite finalized that but our single page to our static website will probably be under $10 a month. A very complex ecommerce website could be as much as $2,000 or $3,000 a month. So that’s the model.
Neal Goldman - Goldman Capital Management: Okay. At what sort of level of sales between the various segments where you need to be at the cash flow breakeven?
Steve Mihaylo: It’s kind of been a moving target. I have said all along, it’s around $1 million a month for both telecom and web hosting. I think it’s a little bit higher than that, maybe $1.1 million or $1.2 million.
Neal Goldman - Goldman Capital Management: Okay. And then the incremental margin, I assume is in the 70 plus percent after that?
Steve Mihaylo: Yeah. Once you have breakeven, the margins are probably even higher than 70%. It depends on how many people buy devices outright in the telecom division and how many lease them. If they lease them, the margins are going to be very high over 70%.
Neal Goldman - Goldman Capital Management: Right.
Steve Mihaylo: If they purchase them outright, the margins will probably be a little bit under 70%.
Neal Goldman - Goldman Capital Management: Okay. Are you doing the leasing or that’s going to be done by a third party?
Steve Mihaylo: No, we were doing the leasing and at Inter-Tel, we have huge credit lines. We don’t have that luxury right now because of the continuing problems in the economy and plus the fact that Crexendo is really a startup company. I mean, you guys are seeing a laboratory experiment here. We passed the experiment stage but you’re still seeing a startup company as a public company which is very rare and very unusual. Most of the time company start them up and they get up and running and then they go public. We redeployed our assets from the old business into the new model. So you’re saying a brand new business here.
Neal Goldman - Goldman Capital Management: Okay. All right, Steve. Thank you. Good luck.
Steve Mihaylo: Thank you, Neal.
Operator: (Operator Instructions) It appears that there are no further phone questions in the queue at this time. I’d like to turn it back over to the speakers for any additional or closing remarks.
Steve Mihaylo: I will just have one more thing I want to point out and that is, there is two metrics that you need to be looking up, well actually three. You need to be looking at backlog. You need to be looking at quarterly increases in sales. And you need to be looking at how well we manage our expenses. And we have a laser focus on all three of those areas. I’m prepared to put more money in to this, if I have to in the way of debt, convertible debt, common equity, preferred shares. But, I really don't think that's going to be necessary. I think the money that I paid to acquire the building that we are in is sufficient to fact that I’m exchanging common stock for rent, reduces the cash burn. All of those things are positive factors and I'm very, very optimistic. And I think I speak for the rest of our management team when I say that. With that, I’m going to wish you a good afternoon and a good evening. And we will see at the end of this quarter that ends this month and it will probably be what, sometime in May that we have our conference call. All right. Thank you everyone.
Ron Vincent: Thank you everybody.
Operator: Thank you. That does conclude our conference. You may now disconnect.